Operator: Ladies and gentlemen, thank you for standing by and welcome to the Aecon Q3 2020 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Adam Borgatti. Please go ahead, sir.
Adam Borgatti: Thank you, Ian. Good morning, everyone and thanks for participating in our third quarter 2020 results conference call. This is Adam Borgatti, Senior Vice President of Corporate Development and Investor Relations speaking. Presenting to you this morning are Jean-Louis Servranckx, President and CEO; and David Smales, Executive Vice President and CFO. Our earnings announcement was released yesterday evening and we have posted a slide presentation on the Investing section of our website, which we will refer to during this call. Following our comments, we will be glad to take questions from analysts. As noted on Slide 2 of the presentation, listeners are reminded that the information we are sharing with you today includes forward-looking statements. These statements are based on assumptions that are subject to significant risks and uncertainties. Although Aecon believes that the expectations reflected in these statements are reasonable, we can give no assurance that these expectations will prove to be correct. With that, I'll now turn the call over to Dave.
Dave Smales: Thanks, Adam and good morning, everyone. I'll touch briefly on Aecon's consolidated results, review results by segment and then address Aecon's financial position before turning the call over to Jean-Louis. Turning to Slide 3. Disruption to Aecon's operations as a result of COVID-19 continue to impact results in the third quarter, muting what would otherwise have been a strong quarter of revenue growth. Overall revenue for the three months ended September 30, 2020 of $1 billion was $14 million or 1% higher compared to the same period last year. Adjusted EBITDA in the third quarter of $137 million, a margin of 13.2% increased by $46 million or 51% compared to adjusted EBITDA of $91 million, a margin of 8.9% in Q3 last year, and operating profit of $107 million is $48 million higher than Q3 last year. Diluted earnings per share of $0.99 in the quarter, compared to diluted earnings per share of $0.60 in the same period last year. Aecon's results included a net positive impact to adjusted EBITDA and operating profit from the Canada Emergency Wage Subsidy or CEWS program of $69 million in the third quarter, which reflected the net benefit from the program for the period from March 15 to September 26, 2020. The subsidy offset the impacts of COVID-19 on Aecon's business since March 2020, while assisting Aecon to maintain normal employment levels through this period. Management estimates of the impact of COVID-19 on Aecon's business was a reduction in revenue, operating profit and adjusted EBITDA of $141 million, $29 million and 31 million, respectively in the three-month period ended September 30, and $309 million, $57 million and $68 million, respectively in the nine months year-to-date. Reported backlog of $6.7 billion compares to the backlog of $6.6 billion a year ago. Now looking at results by segment. Turning to Slide 4. Construction revenue of $1 billion in the third quarter was $34 million or 3% higher than the same period last year. Revenue is higher in Industrial operations, primarily due to increased activity on mainline pipeline projects in Western Canada and in Civil operations and Urban Transportation Systems, driven by increases in major projects, and Roadbuilding Operations in both Eastern and Western Canada. Revenue is also higher in Utilities, due in large part to the acquisition of Voltage Power in February 2020. Partially offsetting these increases was lower revenue from Nuclear Operations, driven primarily by decreasing work in the Darlington nuclear facility in Ontario, as work on next unit of the main reactor refurbishment was delayed due to COVID-19. Adjusted EBITDA in the Construction segment of $131 million, a margin of 12.7% increased by $58 million compared to $73 million, a margin of 7.3% in Q3 2019. The Construction segment included the net positive impact of $69 million in the third quarter from the CEWS program, covering the period from March 15 to September 26. After excluding this amount, adjusted EBITDA in the third quarter decreased by $11 million compared to the same period in 2019, due to lower gross profit margin in Civil Operations and Urban Transportation Systems and from the volume-driven decrease in Nuclear work. This was partially offset by higher operating profit in Industrial Operations, primarily from increased volume, and in Utilities, driven by higher volume and gross profit margin in the current quarter. New contract awards of $439 million in the third quarter of 2020, the $359 million lower than the same period last year, driven primarily by lower awards in Industrial, Nuclear and Utilities. Construction backlog at the end of the quarter was $6.6 billion, $89 million higher than the same time in 2019. Turning to Slide 5. Concessions revenue for the third quarter was $9 million, a decrease of $52 million or 85% compared to the same period last year. Upon reopening of the Bermuda International Airport on July 1st, following COVID-19 related closure in March, commercial flight operations have been at a significantly reduced volume compared to the prior year due to the pandemic. Adjusted EBITDA in the Concessions segment of $8 million was $17 million lower compared to the same period last year due to COVID-19 impact on Bermuda airport operations. Turning to Slide 6. Aecon's financial position, liquidity and capital resources remained strong and they're expected to be sufficient to finance operations and working capital requirements for the foreseeable future. As of September 30, 2020, Aecon had $56 million of cash on hand, excluding cash in joint operations and restricted cash and a committed revolving credit facility of $600 million, of which, nothing was drawn and $7 million was utilized for letters of credit. When combined with an additional $700 million performance security guarantee facility to support letters of credit provided by EDC, Aecon's committed credit facilities for working capital or letter of credit requirements totaled $1.3 billion. Aecon has no debt or working capital credit facility maturities until the second half of 2023, except equipment loans and leases in the normal course. At this point, I'll turn the call over to Jean-Louis.
Jean-Louis Servranckx: Thank you, Dave. Turning to Slide 7. Despite the impact of COVID-19 on Aecon's third quarter results, our ability to respond with agility to these challenging times to deliver our services effectively, while ensuring the health and safety of our dedicated employees demonstrates the resilience of our business. We remain confident that Aecon's balanced and diversified portfolio, strong financial position and safety-first culture will be of great benefit as we continue to navigate evolving market conditions. Specifically, the Construction segment is aligned to the significant infrastructure investment commitments by all levels of government across Canada, as well as by the private sector and the Concessions segment is pursuing a number of large-scale infrastructure projects that require private finance solutions, as well as participating as a concessionaire on the five P3 projects identified on this slide. Turning to Slide 8. The current backlog and level of new award year-to-date have remained strong, with a backlog of $6.7 billion at the end of the third quarter of 2020, which was $107 million higher than the same time last year. The company expects that demand for its services will remain strong following the COVID-19 pandemic, as the federal government and provincial governments across Canada have identified investment in infrastructure as a key source of economic stimulus as part of the recovery plan. Trailing 12 months recurring revenue was down 16% compared to last year, primarily as a result of the suspension of commercial flight operation on March 20th, 2020 at the Bermuda International Airport, followed by a lower volume of commercial flights compared to the prior year after reopening of the airport on July 1st, 2020, due to the pandemic. As noted on Slide 9, in the third quarter, Aecon released its first sustainability report entitled, Building the Infrastructure of a Better Tomorrow. This report highlights the progress, initiative and commitments of Aecon's environmental, social and governance or ESG processes and strategies. This report also demonstrates Aecon evolving initiative to embed sustainability in our operations, and relationship with our clients, communities, investors and all stakeholders. The infrastructure Aecon built is critical in enabling society to adapt to a changing climate by transitioning to a lower carbon circular economy. Moving forward, Aecon will look to continuously improve in establishing and measuring key metrics, setting meaningful goals and targets and leading the industry in sustainable infrastructure construction and development. We invite all of you to review the report on our website and welcome your comments and feedback. Turning to our outlook on Slide 10. Aecon's operations continue to be impacted by the COVID-19 pandemic, either by client decisions related to schedules or operating policy, or due to broader government directives to modify work practices to meet the relevant health and safety standards. In particular, during the fourth quarter, Nuclear operations are expected to only be in the ramp up phase, rather than full run rate for the next stage of work on a number of projects that were originally scheduled to start earlier in the year that were delayed due to COVID-19. In the Concessions segment, commercial operations at the Bermuda International Airport continue to recover slowly due to COVID-19 related travel restrictions, which have significantly impacted the whole aviation industry. The new airport terminal is expected to be open for operation on December 9, 2020, which will mark a significant milestone for Aecon. Aecon continues to monitor developments and mitigate risks related to the COVID-19 pandemic and the impact on Aecon's projects, operations, supply chain, and most importantly, the health and safety of its employees. As this situation may continue to evolve for some time, shifting directives and policies from clients and governments are expected to continue. The overall outlook for 2020 remains solid, and 2021 is expected to be a strong year as construction continues on a number of projects that are ramped up in 2019 and 2020, the strong level of new award in 2020 and the strong demand environment for Aecon's services, all subject to the unknown impacts of COVID-19 going forward. In closing, I want to personally thank all of our Aecon's employees, in particular, our frontline workers for the dedication, strong commitment and professionalism during this challenging time. Thank you. Be all safe, and we will now turn the call over to analysts for questions.
Operator: [Operator Instructions] Your first question comes from the line of Yuri Lynk of Canaccord Genuity. Your line is open.
Yuri Lynk: Hey, guys. Just it sounds like the number of delays you've encountered since your last update back in August has intensified a little bit because of COVID. Is that the fair characterization and can you put any more meat on the bone in terms of exactly what you're seeing on the ground?
Dave Smales: Yeah, Yuri. I wouldn't say, intensified. I mean, the ones that we flagged coming into Q3, the ones that we experience. So we knew, for example, Site C was going to be a ramp-up phase as we got back to work on that site. We knew Nuclear was going to be suspended through Q3 and just starting to get into ramp-up again at the end of the quarter and through Q4. You know but there obviously the two major projects is lots of smaller projects that have impacts you know, but nothing outside and what we were expecting, I think it pretty much played out the way we thought. Back in Q2, we had a number of other projects that were impacted, for example, REM and things like that. So a bit of a mixed bag, but nothing really that we weren't expected -
Jean-Louis Servranckx: Maybe, Yuri I can add a few words about COVID impact which you want. Because it's complex, but I think it's rather interesting. I mean, from the beginning of this pandemic, let's say March 15th, I mean, all our employees, 15 employees only from a contacted positive. When some of our employees test positive, we immediately self-isolate through a tracing program, the one that could have been in contact with them. In October, for example, we have self-isolated 150 people. What is extremely, I mean, what is important is that, as of today, none of those 150 people that have been isolated is positive. It just means that with all the measures we have taken at Aecon, stringent, social distancing and wearing of mask, washing hand, not sharing food - not sharing containers for lunch or probe. I mean, if you follow the rule with discipline, it's most probable that you don't get COVID at Aecon. And this is very important, because this discipline that we have experienced, and the lessons learned, I mean, will help us to navigate through this second wave. I mean, probably much better, because we are not caught by surprise. And we know what works now and we are confident about this. Evidently, I mean, we cannot let our guard down. I think nothing is granted. We are still in this fight for a few months from now. But this is where we are and what is the situation.
Yuri Lynk: Okay, that's helpful. Maybe just switching gears to the margin side. You called out in the slide deck that Civil and Transportation margins were lower within the Construction business, just wondering what's behind that and that's related to some of the headlines we've seen regards to the Eglinton project and the lawsuit there?
Dave Smales: Yeah, I mean, I think you'll be able to see from the numbers that, you know, there wasn't any kind of material shift in margins a little lower than a year ago, but part of that is obviously the impact of COVID and lower revenue versus the overhead base. So there's an element of that across each of the sectors. And obviously, we look at all our projects every quarter in terms of weather and the margin profile on each of those projects and adjust them as we need to quarter-to-quarter, but nothing of the nature that we felt we needed to call out but nothing particularly unusual in the numbers this quarter you know a lot of it is often timing or mix. So, no material change. It was just the normal kind of timing and mix issues and looking at the margins across all our jobs.
Jean-Louis Servranckx: Maybe, Yuri I can add a few words on Eglinton. I mean, because you asked about it. So Eglinton is a major project. And as all major projects has its own complexity, we have a very strong team working at Eglinton under costing. So what has happened during the last few weeks I mean, everybody know that this COVID-19 is a global pandemic that is ravaging I mean, domestic and global economy. What we have been doing is trying on core to get Metrolinx and Infrastructure Ontario declare an emergency on this job, because it has not been done despite the fact that the province and the city both declared emergency more than seven months ago. These declaration of emergencies while the contract gives us much more capacity to be compensated and to get relief for time and cost. So construction companies are vastly, I mean, core adverse. I mean, we usually try to find resolution of our conflicts through our contracts. But we just need fair and reasonable resolution of our problem. I remind you that in P3, and Eglinton is a P3. The third P is partnership. And we also have done this to defend all our subcontractors and partners and supply chains while suffering. This being said, we work extremely hard on Eglinton. I mean, each of you can go through I mean, along the 20 kilometers line and you just can see, I mean, that the work is progressing well. It's hard we were under very stringent safety conditions. We are suffering from the supply chain issue. I imagine everybody is aware of the concrete supply problem in the GTA areas at this moment. But we are a strong company. We are expert in delivering large complex projects. And we are fighting every day, every night. We are proposed to our client, a stage opening for Eglinton, and this is where we are at the moment, I will say business as usual. But major projects have their own difficulties.
Yuri Lynk: Okay, that's fair. I'll turn it over guys. Thanks.
Dave Smales: Thanks, Yuri.
Operator: Your next question comes from line of Jacob Bout from CIBC. Your line is open.
Jacob Bout: Good morning.
Dave Smales: Good morning.
Jean-Louis Servranckx: Good morning, Jacob.
Jacob Bout: I wanted to pick up on the margin question. Maybe talk a bit about the impact of Nuclear on margins in the quarter? And what kind of improvement you know are you expecting in the fourth quarter and into spring next year?
Dave Smales: So I think, obviously we had a big drop in our Nuclear revenue in Q3 versus a year ago, which impacts the mix. I think it won't be back at full run rate in Q4, it will take as a quarter. So to get back to the kind of volumes we saw through 2019 when we were working at full aisle on the first unit to be refurbished. So it will start to move back in the right direction to Q4 and will be pretty much full pace in 2021. There's always margin mix impacts not just Nuclear, but that clearly is one of the areas that we generally have a positive impact, and with that not being in Q3 had the opposite impact next quarter. But I mean, we never talk about specific margins in our operations, but I think everybody knows that's one that normally has positive impact that was missing in Q3.
Jacob Bout: Okay.
Jean-Louis Servranckx: Maybe I can add a few operational look at our jobs. I mean in Darlington with OPG. The operation have now started on the second unit, unit number three, we are well advanced in our defueling activities. More than 1,000 people on site. It has been delayed but it's ramping up well. We also work on the turbine generator elements. In Bruce, we have begun on the first reactor that was shut down with delay, but we enter into the bolt of unit six early October. We have more than 900 people working and we are also working in the steam generator of this reactor. So, yes, it's ramping up with some delay. but we are well on rail for those big projects.
Jacob Bout: Okay, thanks for that. And then just a question around the backlog. There is you know a sizable decline in the Civil and Urban Transportation Systems. Just talk about, is it just a timing thing or how should we be thinking about that?
Jean-Louis Servranckx: Okay. I'm comfortable with our backlog. I'll always say that I'm comfortable between $6.5 billion and $7 billion, can even go up to $7.5 billion. I think the role figure, as it says, I mean, is not an issue, what is extremely important is to see that this backlog is very well balanced. It's very important for us to win projects where we are confident that our best team can be posted. It's also good to see that the proportion to be indicated within the next two months, I mean, it's quite strong, which gives us sort of future outlook for 2021 which is interesting. And the quality of the backlog is also of utmost importance. As I've already told you, we are extremely disciplined on our pursuits on the way we bid, we will review all conditions and when we target a job, we know perfectly why we targeted and what can we do? How can we put in place the best design? How can we integrate perfectly the design with our Construction teams? So this is where we are. We are not starving. We have three major jobs of Urban Transportation System at the moment on the go, which are Eglinton, Finch and the REM in Montreal, you've probably noticed that CDPQ has announced and they will be full of projects after the REM in Montreal. We are quite focused on executing our jobs and targeting perfectly the job of the future.
Jacob Bout: Okay, thank you for that.
Operator: Your next question comes from line of Frederic Bastien of Raymond James. Your line is open.
Frederic Bastien: Thanks and good morning, Jean-Louis, I was wondering if you could provide an update, you did a great job providing updates on Eglinton, REM. Wondering if you could switch and move out west and discuss how Site C is progressing?
Jean-Louis Servranckx: So Site C is also a massive job. I remind you that our job is about the Spillway and the generating station, it's about building 700,000 cubic meter of concrete. We ramped up extremely and rapidly from the moment Hydro BC [sic - BC Hydro] shifting the partial suspension. We reached a very important milestone, I mean, during the last week, because we have now executed 200,000 cubic on this 700,000 cubic. We are still aiming to deliver this job during the year 2023. We had very fruitful discussions and negotiation with Hydro BC about the consequences, direct and indirect as following the suspension for the COVID-19, I remind you that this is a camp job and Hydro BC have been extremely prudent in managing this pandemia [sic - pandemic]. We are also discussing with them odds and means that we can put in place to recover this partial suspension. So, so far, so good on this job. There have been some technical issues, I mean, you have read all the article, they are all related with the foundations and geotechnical which are totally outside our scope of work. So what I would say that for us on Site C is business as usual. We are almost at 100% of our work capacity, and this is where we are.
Frederic Bastien: Thanks, Jean-Louis. And I just want to go back and make sure that I'm not misinterpreting the information you provided in respect to Darlington and the ramp up of work on next unit. Delays that are highlighted in the press release and MD&A. Really go back to the decision taken by your client in the spring and ensure make sure that's correct and that's not newer or more recent delays that are impacting the job.
Jean-Louis Servranckx: No, it's exactly this. I remind you that the production of energy is an essential service, it's even a super essential service. So both OPG and Bruce, when the pandemia [sic - pandemic] reached Ontario decided to give the highest priority to the operation of the power plant. I remind you that when we enter into a reactor, it's more than 1,000 people entering this reactor with a risk of infection at a moment where we did not know exactly, I mean, how the COVID could be disseminated? What were the right ways of doing so? They decided to postpone the beginning of either the second unit of Darlington, unit 3 or the first unit of Bruce, to focus on safe operation on the existing power plant. Then, once everything, I mean, was stabilized, we had the authorization to begin and all these decisions from the owners on our way, I mean, we are mobilized on both job sites. And we are very happy about the way we are running this job at the moment.
Frederic Bastien: Thanks. My last questions on potential M&A and how you're looking at the markets right now? You obviously got a good financial position, things seem to be going in the right direction. So I was wondering if there's opportunity for you to continue adding sort of this or expanding that service line that you have? I mean, we've seen a few acquisitions last year, but how are you thinking about M&A right now?
Jean-Louis Servranckx: Okay, so you can imagine that during the last month, I mean, the focus of the management of this company was on protecting our people communicating efficiency, I mean, I'm with them. And there I would say a global uncertainty about ensuring the continuity of work. And this is what we have done. And I'm very happy about the way Aecon has reacted. Of course, I mean, M&A is an important topic for us. We have the capacity, you have seen with our financial strength. We are looking every day at the new possibilities of tuck-in acquisitions. We are active on this, but so far, I mean, there is nothing we can specifically disclose at this stage.
Frederic Bastien: Thanks. That's all I have. Very good result.
Dave Smales: Thanks, Frederic.
Operator: Your next question comes from the line of Benoit Poirier of Desjardins Capital. Your line is open.
Benoit Poirier: Yes, thank you very much and congratulations for the results. Just looking at Bermuda Airport. Would it be possible to provide some color about the transition to the new terminal in December, whether it will bring incremental costs? And how should we be looking at the EBITDA contribution of Bermuda as we look through Q4 and 2021?
Dave Smales: Yeah. Hi, Benoit. So yeah, no significant change in cost base from one terminal to the other. Personnel numbers and those kind of things don't really change. Obviously, as we look forward in terms of the profitability of the airport, it's all going to be driven by the air traffic and recovery. We are seeing steady improvement month-to-month since the airport reopened in July. And it looks like based on October that that's continuing, albeit still at low levels compared to what we would see as normal traffic. Very hard to predict how that's going to unfold as we go through the winter and into next year. I would say that the one positive is that winter is normally the slowest period anyway for a traffic in and out of Bermuda. And so you know we'll have to see how it ramps up again in the spring when it starts to get more into the busier time of the year, and hopefully with the developments on the vaccine side and things like that, that hopefully we see a good recovery in 2021. But until we get through winter and how the pandemic evolves and vaccines and things like that, very hard to predict what 2021 will look like at this point. Other than to say things are gradually improving. Bermuda's reputation, I would say is second to none in terms of the safety of the island, it's effectively a COVID-free island today, they have very stringent protocols in terms of all people coming into the island in terms of testing and things like that. So, so far, so good. But still uncertainty out there around what next year looks like.
Benoit Poirier: Okay, that's great. And with respect to bidding pipeline, obviously, project pursuits over $40 billion, very robust. We saw also the three-year infrastructure plan that was given by or updated by the Canada Infrastructure Bank not too long ago. So, are there any project that we should be watching in the near-term? And in terms of awards, is the COVID-19 creating some delays in terms of awarding those bigger pursuits?
Dave Smales: So, first of all, Benoit what to be noted is that, none of our project in our backlog has been cancelled for COVID reasons. I mean the slide goes on. We are essential services. Half a million of newcomers arriving to Canada every year, they need infrastructure, we are a builder of infrastructure. Second point, yes, the pipeline is strong. And I'm not anxious about our future activity. I'm very much focused on targeting the right projects and winning them with the right margin. So we have been prequalified on a few projects, for example, Eglinton West Tunnel, Scarborough Tunnel prolongation was in Toronto, we have issued a prequalification document for Ontario Line to main job, which are the stations and the tunnel within Toronto downtown, very similar to Eglinton, but also Rolling Stock and signaling for the Ontario Line. If we want to speak about Quebec, because Quebec is going to be very active in terms of new projects. We have been prequalified on the Quebec LRT scheme. We have issued two prequalification documents for the two harbors, I mean, the Laurentia Harbor in Quebec and the second one in Montreal Concrete. But we are also I mean preparing ourselves for the [indiscernible]. I mean, in Quebec, it's four [GR] [ph] rail projects where we have been prequalified, both in their facilities in Montreal and in Toronto. In the West, I mean, a few LRT are coming. We are now prequalified on Calgary Green Line, we will follow very focusing, I mean, the Surrey prolongation in Vancouver, this the Roberts Bank when it's coming out plus a few other projects. So not that much of issues. We just asked to select the best project for us where our teams can perform the best, we have to select the best engineering company, the best partners and just proceed forward.
Benoit Poirier: That's great color, Jean-Louis. And then just looking at accounts receivable and accounts payable, there was a sequential jump on your balance sheet. But anything to point it out or it's mostly related to typical seasonality and driven by higher revenues?
Dave Smales: Yeah, I mean, that's exactly right. It really is the seasonal high point at the end of Q3 for working capital starts to unwind through Q4, and through Q1. So we expect that to be the same pattern this year. And so far, it's very much in line with what we would normally expect to see from a seasonality perspective.
Benoit Poirier: Okay, thank you very much for the time.
Operator: Your next question comes from Sabahat Khan of RBC Capital. Your line is open.
Sabahat Khan: Thanks and good morning. Just on the planned opening of the new terminal at Bermuda, I guess there isn't a way to really partially open an airport. But is there any way you're thinking about maybe, you know, opening with maybe lower fixed costs or personnel just given the current activity levels or is than an option maybe not on the table given it is an airport?
Jean-Louis Servranckx: We basically, I mean, do not work with a plan B, that would be a soft opening. We are - we got substantial completion on all our construction activities, both Civil and all systems. On the 26th of September, we are aiming to open the airport on the 9th of December, I mean an airport is a terminal is either opened or closed. So it will be open with all its facilities. I just remind you to the state-of-the-art airport terminal, I would say a very much advanced in all touch-free systems and subsystems about e-Gate. It's a very modern terminal. It's with preclearance to the United States. So, we will open it with its capacity, we can see that the traffic is ramping up. I mean, from the month of June that was at zero, in October, we should be around 23% instead of last year, and this is ramping up. So we are ready to go.
Sabahat Khan: Okay, and then given that it is, I guess near terminal, how would you compare the fixed cost base to operate this terminal versus the older one?
Jean-Louis Servranckx: It's very similar, Sabahat. I mean, it's essentially dealing with the same number of you know when it's at full capacity, the same number of flights, same number of passengers, same processes. It's the same mix of our staff versus the staff for the airlines and the functions that they perform. So it's very similar. I mean, you're talking about essentially just moving from one building to another, primarily, obviously a lot more to this terminal in terms of sub concessions in retail, and food and beverage and those kind of things but they're all staffed by the sub concessionaires, the retailers and the franchisees of the restaurants, not our staff. So it's very comparable.
Sabahat Khan: Okay, thanks. And then you provided some good color on the projects that are in the process for. I guess, are you noticing a different change in pace with some of the recent infrastructure announcements? You know we're seeing headlines around at least the Government of Ontario trying to accelerate projects through the pipeline? But you know do you think some of those dollars start to show up in your backlog you know through 2021? Or you know, I'm just wondering if there's a more accelerated pace of projects moving through the pipeline given the need for economic stimulus across Canada?
Jean-Louis Servranckx: Yeah, I mean, definitely there have not been a halt or a decree that I mean in the announcement, we can see in Ontario, for example or in Quebec, you know, the sort of acceleration of new projects coming and time for RFQ and expected time for RFP have been reduced, we just mean that all our clients are eager to proceed with those works. I mean, evidently as the recent provincial election in DC, have a little slow down the announcement, but a lot of future projects are ready to go. So we are not that much worried about it.
Sabahat Khan: Great, thank you.
Operator: Your next question comes from line of Mona Nazir of Laurentian Bank. Your line is open.
Mona Nazir: Good morning and thank you for taking my questions. So just a follow-up on the last line of questioning, in regard to government infrastructure stimulus and the recent announcements from the infrastructure bank and the various provinces that you did touch on. I know you don't give guidance, but how do you think that that may flow into the growth for next year? Do you think that it would be you know, similar to current consumption growth or could be ahead?
Jean-Louis Servranckx: Okay. Mainly the year 2021 will be done with what we have in our backlog at the moment. Evidently, we just can see that infrastructure is part of the stimulus plan. We have always said, I mean, declaring stimulus on Friday and having shown already projects on Saturday and bigger start of the work on Monday, I mean, is not feasible in infrastructure, there is a long lead of pre-activities before beginning. But the wheel is definitely here, you probably have noticed that the new CEO of CIB have been nominated officially yesterday. So we just seen that in addition to what we have in our backlog, and which is strong for 2021. I mean, other projects will come and will supplement our $6.7 billion that we have at the moment in our backpack.
Dave Smales: Just to point to a couple of metrics as well over and above that. If you look at our current backlog and the duration of that backlog, if you look at work to be performed over the next 12 months, we're currently sitting at $2.9 billion of backlog versus a year ago, where work over the next 12 months was just under $2.5 billion. So it's about 17% increase in that next 12-month backlog versus where we were a year ago. And then you layer on top of that $2.9 billion, you know, roughly $500 million plus of recurring revenue every year that's not in our backlog. And then the work that we win through the course of the year that we also perform in the year. And that would be a lot of kind of seasonal transportation, road building type businesses, which, as we know it in Q3. We saw good revenue growth this year versus a year ago, and we expect those transportation and road building businesses to be strong next year based on the fact that that's the quickest way for governments to put dollars to work in terms of infrastructure stimulus, is a lot less design and engineering involved, then it's really a question of funding the budgets of the various provincial transportation authorities, which is what each of the provinces have been announcing in the last couple of months. So when you put all that together, you know, we feel pretty good about the revenue profile for next year, and how we sit today going into 2021.
Mona Nazir: Perfect, that's really appreciated. Secondly, just in regard to the COVID related costs that you've incurred so far, we've seen the largest impacts to just under $35 million in Q3, had about $31 million. I'm just wondering, how should we kind of think about these costs going forward? For Q4, even into next year? Do you think there will be a more kind of drastic fall off? Or would it be kind of similar?
Dave Smales: Yeah, so evidently from some of the projects we talked about today, we expect that COVID-19 impact to moderate somewhat in the fourth quarter. As Jean-Louis talked to the Nuclear operations and now ramping up rapidly, Site C back at full run rate as opposed to where those two were in the third quarter. And so barring any unforeseen developments at this point, we do expect that COVID impact to be moderating in Q4 and into during 2021. The only area that will continue to be more significantly impacted from COVID is Bermuda but as I mentioned earlier, that's also moving in the right direction in terms of traffic. And so as long as that continues, the impact on concessions should also be moderating as we move forward.
Mona Nazir: Okay, and lastly for me, and turning to the Bermuda Airport. I understand that the airport was opened up in July the new terminal is targeted for early December. But just looking at the aviation market, the IATA outlook for 2020 is quite dissimilar honestly, I'm sure you've seen traffic supposed to be down 65% year-over-year and even 2021 recently was released and revenues are still supposed to be half of 2019. I'm just wondering given your comments surrounding Bermuda and the uniqueness that that offers, do you think that performance can ultimately vary from the overall industry outlook? And then just as a follow-up, if the rebound is lower than you expect, is there any further thought to bring you on a partner? Thank you.
Dave Smales: Yeah, I mean, I think obviously, Bermuda will be not dissimilar to what other airports around the world experience. I expect there'll be some impacted more than others, depending on where they are. We actually think Bermuda will outperform the average. But how much variation there is from the average remains to be seen. We're certainly not, I think being overly bullish in terms of Bermuda in terms of how it will fare relative to anywhere else. But there are certain features of being an island airport that are definitely positive. And as I mentioned earlier, the fact that there is no COVID on the island of Bermuda, and the protocols they have going in and out. And relative to other Caribbean Islands, for example, it's nowhere near as tourism-driven and some of those other islands. So we think Bermuda should perform well relatively. And we look at all the forecasts that are coming out. But we don't disagree that, you know, the numbers you quote are probably fairly realistic for the overall airline industry in 2021. But it's going to depend a lot on vaccines and things like that.
Mona Nazir: Perfect. That's very helpful. Thank you.
Operator: Your next question comes from line of Chris Murray of ATB Capital. Your line is open.
Chris Murray: Thanks, guys. Good morning. So Dave, just maybe a couple more questions around Bermuda. So fair to think that now that you've hit substantial completion, Construction revenues are basically done at this point, is that fair to think?
Dave Smales: Yes, that's right.
Chris Murray: Okay, great. And so, if we think about the Concessions business as a whole, especially as we go into '21, I mean, certainly the puts and takes will be, you know, how Bermuda moves around. But when I think about the rest of your Concessions, is there anything that we should be thinking about in terms of either earnings or revenue? Which stage of completion or even massive recycling in the 2021?
Dave Smales: Yeah, so the question, I mean, the Canadian Concessions should be very stable in 2020 relative - sorry, 2021 relative to 2020. If you think about the stage of those Concessions, they're still pretty much in the construction phase and will be throughout 2021. So we don't expect to see really any change in the profile from the Canadian Concessions.
Chris Murray: Okay.
Dave Smales: In terms of asset recycling, I mean, again that wouldn't happen during construction. And with respect to Bermuda and this also answers the second part of Mona's question. There is no plan to do anything different with Bermuda right now, that the focus is really around opening the new airport and navigating through the pandemic and making sure that air traffic gets back to normal and the airport is smooth and efficient during the operation.
Chris Murray: Okay, fair enough. And then just thinking about Q4 and the Q's payments. You know, I think you've mentioned in some of your commentary that you've applied for the program, you know, I think it's fair, you know, that the payments maybe, is it fair to think that they'll tail off as you expected the COVID impact might also tail off into Q4, but how do we think about the impact on cash flow in Q4, and any additional payments as we go forward with at least the way you guys are seeing the program now?
Dave Smales: Yeah, so - you're right, we do expect to see a tail off somewhat in Q4, and obviously the programs been extended out to the summer of next year. And the details around what the program will look like next year haven't been a 100% defined at this point. But we do expect the run rate certainly to tail off as we go forward. The - in terms of the cash flow, we expect Q4 to receive another approximately $40 million from the applications we've already made through to the end of September. Any further applications will likely be Q1 cash flow based on timing of when we would expect to file a loss.
Chris Murray: Okay, fair enough. Great. Thanks, folks.
Dave Smales: Thanks, Chris.
Operator: [Operator Instructions] Your next question comes from the line of Michael Tupholme of TD Securities. Your line is open.
Michael Tupholme: Thanks very much. Good morning.
Dave Smales: Good morning.
Michael Tupholme: Good morning. Yeah, my first question is just regarding Nuclear, and I apologize if you've covered this already. But I was just hoping you could comment on how we should be thinking about the Nuclear business in 2021 with the projects now ramping back up here in the fourth quarter, on a year-over-year basis, 2021 versus 2020, Because you were impacted in 2020 by the fact that there were some delays. I'm just trying to get some sense for you know, the way we should think about that ramp-up and year-over-year comparisons?
Jean-Louis Servranckx: Hey, obviously 2021 will be a strong year for our Nuclear business. We have for the first time two units under construction that at one unit at Darlington and one unit at Bruce. We are not only working on the reactor itself, but we also work on the turbine in Darlington and on the steam generator at Bruce. So it's definitely going to be stronger 2020 was a sort of transition year, plus the COVID impact. This being said, I mean, we are preparing I mean, beyond the refurbishment of the units what can be the future of Nuclear, it's about waste treatments, you can imagine that all through the refurbishment are creating a lot of metal waste. And this need to be treated and need to be stored. It's about beginning to prepare the dismantling of pickling, for example. And it's about SMR the Small Modular Reactor you would have seen that in Canada and Ontario have taken quite a proactive stance I mean, for this new line of business. And we are well ahead in our partnerships and in our preparation for Bermuda, although they would not of course materialize during the year 2021.
Michael Tupholme: Okay, thanks for that. And then my second question is really about the pipeline and the outlook. And you provided a lot of good commentary and detail there already, Jean-Louis in terms of some of the large projects you're pursuing. I guess just sort of a couple part question here. First off, can you just talk about how you feel about the bid pipeline today relative to the way you would have felt a quarter ago when you did your August call, the time that Q2 results, I don't know if there's much difference there? And then secondly, I'm just wondering if you know there are any parts of the business that are important to Aecon in terms of sectors that you are seeing any notable weakness in right now due to COVID if there's anything there that's all concerning to you in terms of the project opportunity set.
Jean-Louis Servranckx: Okay. There is no big difference, I mean between today and our last call I mean end of July of this year. We were not anxious, we are not anxious. In addition, I mean to the major projects have been telling you about, I mean we are pursuing a lot of projects medium size or even small size, I mean, for example, our Utilities business is doing quite well. We work a lot in telecommunication. We are strong there with Bell and TELUS, you know that this - all this social distancing and the new normal just imposed to a much more capacity for all these internet and data. So we are on it, we are working a lot for Enbridge. I'll remind you, for example, that the CID has announced in October something like $2 billion for broadband in unserved communities, so we are following this job, district energy, geothermal, renewable power, I mean, even for the job which are not the mega projects, which are a small or medium jobs, I think we are very much positioned. So, we are organized under construction with 6 sectors, they are very well balanced, and it's very important for us to our resilience. And we just cannot see, I mean, any real issues with our different business clients, I mean, they are all looking into the future with optimism.
Michael Tupholme: Perfect, thank you. And then just one last one. It's a question I guess about the competitive landscape and whether or not you've seen any changes there in the last quarter, and I realized in some of the large infrastructure projects there are only so many firms capable of pursuing those kinds of projects. And so maybe those are a little more insulated, but just generally speaking, have you seen any changes in the competitive landscape in terms of heightened competitive pressures?
Jean-Louis Servranckx: Not that much. I remind you that most of the big projects goes through a prequalification phase, where the - our owners usually prequalify three group. What is very important for us is that, progressing I mean our strains and our professionalism, we can in advance to those bidding process, assemble the best group, I mean, the best foreign partner when it is necessary, the best engineering companies and this is what is important, I think we are progressing quite well. Our professionalism and the professionalism of all the layers in Aecon is one of my most important point of focus. And this is much more important for me in terms of knowing how is going to be the future, then a real change in the competitiveness of the market, I mean, things remained more or less equal. The difference is that, we are and we asked to be better and better every day in the act of building, I mean, we are builders, we have to build better than any other company and this is why we are working on it.
Michael Tupholme: Thank you for that, Jean-Louis.
Operator: There are no further questions at this time. I turn the call back over to the speakers.
Adam Borgatti: Thanks, very much, Ian. And appreciate everyone's time today. If you have any questions always feel free to follow-up. And if we don't speak, we will be back online for our Q4 results in the New Year. Have a great and safe day and will speak with you all soon. Thanks.
Operator: This concludes today's conference call. You may now disconnect.